Operator: Welcome to the Itron, Incorporated Q3 2020 Earnings Conference Call. Today’s call is being recorded. For opening remarks, I would like to turn the call over to Ken Gianella.
Ken Gianella: Thank you, operator. Good afternoon, and welcome to Itron’s third quarter 2020 earnings conference call. We issued a press release earlier today announcing our results. The press release includes replay information about today’s call. A presentation to accompany our remarks on this call is also available through the webcast and on our corporate website under the Investor Relations tab. On the call today, we have Tom Deitrich, Itron’s President and Chief Executive Officer; and Joan Hooper, Senior Vice President and Chief Financial Officer. Following our prepared remarks, we’ll open the call to take questions using the process the operator described. Before I turn the call over to Tom, please let me remind you of our non-GAAP financial presentation and our Safe Harbor statement. Our earnings release and financial presentation include non-GAAP financial information that we believe enhances the overall understanding of our current and future performance. Reconciliations of differences between GAAP and non-GAAP financial measures are available in our earnings release and on our Investor Relations website. We will be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions that are subject to risks and uncertainties. Actual results could differ materially from these expectations because of factors that we presented in today’s earnings release and the comments made during this conference call and in the Risk Factors section of our Form 10-K and other reports and filings with the Securities and Exchange Commission. In addition, due to fluid nature of COVID-19 pandemic, company estimates regarding the impact of COVID-19 on current or forward-looking statements are made in a good faith attempt to provide appropriate insight to our current and future operating and financial environment. Materials discussed today, November 2, 2020, may materially change, and we do not undertake any duty to update any of our forward-looking statements. Now please turn to Page 4 on the presentation, and I’ll turn the call over to our CEO, Tom Deitrich.
Tom Deitrich: Thank you, Ken. Good afternoon, and thank you for joining us. During the third quarter, our team continued to focus on the success of our customers and safely delivered results aligned to our expectations considering the current environment. You will hear details from Joan shortly, but to summarize our third quarter performance, revenue was $540 million. Adjusted EBITDA was $40 million. Non-GAAP earnings per share was $0.61 and free cash flow was positive $38 million. While improving sequentially from the second quarter of 2020, these results still reflect the ongoing pandemic. Now let me provide a brief update on the customer and operating environment as we see it today. Beginning with our customers, consistent with last quarter, we have not seen contract cancellations and collections have continued as expected. We continue to see robust acceleration of interest in our Riva distributed intelligence platform, automation solutions, grid resiliency technology, and a demand for more forecasting and data analytics that our customers deploy to increase efficiency and insight for their operations. These are positive secular trends for our business. And it is directly contributing to robust customer discussions and a healthy pipeline of new opportunities. As we noted in prior calls, the pandemic has slowed near-term bookings due in part to delays in regulatory decisions. Bookings in the third quarter were approximately $432 million bringing our total backlog to approximately $2.8 billion and our 12-month backlog at approximately $1.1 billion. We continue to target and have visibility to achieve a full year book-to-bill ratio of approximately one-to-one. Recall that our threshold for including an award into our backlog requires a signed contract and any required approvals from the appropriate regulatory agencies. During the third quarter, there were several notable customer bookings and milestones that demonstrate the power and innovation present in our strategy and leading technology offerings. In partnership with CPS Energy and the San Antonio Water System known as SAWS, we announced a long-term software and services agreement that allows CPS and SAWS to leverage a common network to deploy water department services. This is on top of a previously announced smart city project with CPS and the City of San Antonio to deploy an Industrial Internet of Things automated streetlight canopy. This is an outstanding at scale demonstration of the deployment of a multi-purpose network that can be efficiently reused across multiple organizations and applications for the benefit of the community, while providing long-term SaaS and service business for Itron. It is important to note that this business model continues to gain momentum. In fact, we recently signed an agreement with AEP in Washington County and Virginia to utilize AEP’s network to the benefit of both utilities as well as Itron for recurring SaaS and service revenue. This is a win-win-win model for all involved. We also announced an agreement with CenterPoint for the deployment of the Intelis gas metering platform with integrated safety features that enabled remote shutoff so that when paired with other services such as methane detection and alarms create new levels of performance and safety. Also during the third quarter, we surpassed the $1.5 million mark for deployed endpoints that enable downloadable applications via our distributed intelligence platform. These meters continue to be deployed across many of our customer’s networks. Our customers have proven in head-to-head tests against competitive solutions, the performance advantages of downloadable applications for real world situations such as theft, grid efficiency and safety. Turning to our operations. The conditions exiting the third quarter remained steady with no significant production constraints. Our supply chain and logistics network are stable. We currently have all factories up and running with continuing aggressive measures to ensure employee safety in manufacturing and field operations. We are vigilant and prepared for regional and local spikes from the pandemic that could potentially disrupt our operations. We continue to execute our strategy and move towards an asset light operating model. In September, we announced a 2020 cost savings project designed to better utilize our talent, capital, and infrastructure to provide support for our customers more efficiently and effectively. The 2020 cost savings project is expected to yield $20 to $25 million in savings with approximately 80% benefit in gross margin when completed by the end of 2022. With this project, we further align our operations with our strategy to increase the focus on higher value solutions and optimize our supply chain. These actions will make Itron stronger and more resilient in the quarters to come. I will now hand the call off to Joan to discuss our third quarter results.
Joan Hooper: Thank you, Tom. While our results improved sequentially from the second quarter low point, there is still more recovery needed before we are back to normal operating and financial performance. Please turn to Slide 6 for a summary of consolidated GAAP results. Third quarter revenue of $540 million decreased 13% from last year, but was up 6% sequentially from Q2. The year-over-year decline was due to lower customer demand and operating constraints resulting from COVID-19. Gross margin for the quarter was 26.5%, 500 basis points lower than last year, primarily due to manufacturing inefficiency caused by COVID-19, unfavorable product mix and an increase in inventory reserves. The GAAP net loss of $25 million or negative $0.63 per share compares with net income of $17 million or $0.42 per diluted share in the prior year. This loss was driven by a $44 million restructuring charge booked in the quarter related to the 2020 cost savings project that we announced in late September. Regarding the non-GAAP metrics on Slide 7, non-GAAP operating income was $30 million. Adjusted EBITDA was $40 million or 7% of revenue. Non-GAAP net income for the quarter was $25 million or $0.61 per diluted share. Looking at revenue by business segment on Slide 8. Device Solutions revenue was $176 million, a $42 million or 20% year-over-year decline on a constant currency basis. Device Solutions revenue was up 36% from the second quarter, increasing its share of total company revenue in Q3. Networked Solutions revenue was $307 million, a $50 million or 14% decrease year-over-year. Revenue in the Outcomes segment was $57 million, a 2 million or 4% increase in constant currency from 2019. Lastly, foreign currency changes resulted in $6 million higher revenue versus the prior year. Moving to the non-GAAP year-over-year EPS bridge on Slide 9, our Q3 non-GAAP EPS was $0.61 per diluted share compared with $1.04 in the prior year. On a year-over-year basis, net operating performance had a negative $0.71 per share impact versus Q3 2019. This decline was driven by lower revenue and margin caused by COVID-19 as well as unfavorable product mix, partially offset by lower operating expenses. Lower interest expense resulted in a $0.04 benefit year-over-year. Lower non-GAAP tax rate increased EPS by $0.26 versus Q3 2019. The lower year-over-year tax rate was primarily due to favorable discrete items booked this quarter. And lastly, changes in foreign currency and share count resulted in a $0.02 per share decrease year-over-year. Turning to Slide 10 through 12, I’ll discuss the Q3 results by business segment compared with the prior year. Device Solutions revenue was $176 million with gross margin of 12% and operating margin of 6%. Gross margin decreased 750 basis points due to COVID-19 related inefficiencies as well as product mix. Operating margin decreased 680 basis points due to the fall through of lower gross margin, partially offset by reduced operating expenses. Networked Solutions revenue was $307 million with gross margin of 33%. Gross margin was down 460 basis points from the prior year due to unfavorable product mix and COVID-19 related inefficiencies. Operating margin was 23% below last year due to the fall through of lower gross margin and reduced operating leverage. Outcomes revenue was $57 million with gross margin of 36%. Gross margin decreased 90 basis points from the prior year, primarily due to product mix. Operating margin was 21%, 130 basis points higher than last year due to lower operating expenses. Turning to Slide 13, I’ll cover liquidity and debt. Free cash flow was $38 million in the third quarter, which was slightly better than we expected due to strong collections. Cash and equivalents at the end of the third quarter were $586 million. Total debt was $1.35 billion and net debt was $764 million. Net leverage was 4.3 times at the end of Q3. Please note, this leverage ratio is calculated differently than the bank net leverage that governs our credit agreements. Our bank net leverage was 3.4 times at the end of Q3 well below our covenant threshold. Our balance sheet remains flexible with sufficient liquidity to fund our operations. Cash conservation has been our priority since the started the pandemic. As conditions continue to stabilize and improve, we have begun to repay the draw from the revolving credit facility. In October, we repaid $100 million of the $400 million revolver draw. While we continue to target our long-term financial model, we’ve recognize that COVID-19 has slowed our progress. Throughout the pandemic, we have been focused on mitigating the financial impact through near-term levers that we can control, including tightened discretionary spending, hiring freezes, reductions in outside services and the delay of some capital projects. For the full year 2020, there are no significant updates to the comments I made on last quarter’s call with the exception of the expected tax rate. We currently expect the full year non-GAAP tax rate to be approximately 20% versus the 36% discussed on last quarter’s call. This reduction is primarily driven by favorable discrete items. We will continue to diligently manage our business through these unprecedented times, delivering value to our customers and support to the communities that we serve. As Tom mentioned, we are confident we will emerge from this pandemic well-positioned to take advantage of increasing customer demand for our technology solutions. And we remain confident in our ability to reach our target financial model. Now I’ll turn the call back to Tom.
Tom Deitrich: Thank you, Joan. On a final note, prior to turning over to Q&A, I would like to highlight our recent Itron Utility Week. First, I would like to thank CPS Energy ‘s President and CEO, Paula Gold-Williams for being our keynote speaker and co-host of this year’s event. During the event, CPS Energy was awarded with the Excellence in Resourcefulness Award by Frost & Sullivan. I’m grateful for Paula’s partnership and continued leadership. Held annually for the last 38 years, Itron has hosted customers, partners and suppliers at our leading Utility Week conference. We switched this year’s event to a three-day virtual gathering with 1,500 worldwide participants, a new record level for us. While we truly wish we could have all been face to face, it was important that we still gather as industry experts, customers, colleagues and thought leaders to share perspectives and learn from one another and work together to address our industry’s challenges. The theme of this year’s event was empowering innovation. It is a timely topic as our industry must reliably continue to provide critical infrastructure and deliver services during both normal and abnormal times. As we continue to move forward, we must remain mindful of three macro trends that are creating both challenges and opportunities for our industry today, infrastructure resiliency, environmental considerations and societal expectations. These macro trends will reshape how we work, what we focus on and the legacies we leave behind. But each can and will be addressed through our commitment to innovation. Through innovation, our industry can completely redefine the utility and city landscape and our relationship with how we manage energy and water, engage consumers, respond to disasters, reimagine business models and so much more. When our modern world is so dependent on critical infrastructure to deliver safe, secure and cost-effective supplies at both energy and water, innovation is not just a future state, it must be our constant companion. Thank you for joining us today. Operator, please open the line for some questions.
Operator: Thank you. We’ll take our first question from Noah Kaye from Oppenheimer. Please go ahead. Your line is open
Noah Kaye: Thanks. Good morning, everyone. Appreciate you’re taking the questions. Can I start with a few quick ones for Joan around the tax rate assumption change? Any color on what’s driving those discrete tax benefits? It looks, unless I’ve got my math wrong, it looks like this might be worth around $0.40 or so a share to pull your EPS and feel free to correct me if that’s mistaken. But then importantly, does that have any impact on, how you’re thinking about cash flow performance for the year? Thanks.
Joan Hooper: Sure. So let me start with the EPS impact. It’s about a little over $0.30 a share impact versus the 36% that we gave last quarter. Most of discretes were booked this quarter. The largest one had to do with our ability to take advantage of some tax attributes that we essentially acquired when we bought Silver Spring, it required us to go back and refile some Silver Spring historical tax returns to take advantage of a foreign tax credit and we were able to do that in Q3. And so that by far is the largest tax discrete. In terms of the cash taxes for the year, the cash taxes have been very low. And so this eventually affects cash taxes, but don’t think about it as an immediate payment for the year. Essentially, we were able to release some valuation allowances that we had on deferred tax assets. The other question that I think would be – is this indicative of the go forward rate? And I would say, no. It’s very large discretes that we booked this quarter. If you look at the non-GAAP tax rate this quarter was actually negative. So our best estimate going forward is still a little over 30% is the best estimate right now.
Noah Kaye: Yes, that’s super, helpful. Thanks. So turning to demand and bookings, Tom, I think I heard you mentioned that there’s still a shot here to get to one-to-one book-to-bill for the year. Again, just doing some quick math, I mean, there would have to be maybe historically strong bookings number for the fourth quarter. And we know that the timing of approvals can be pretty lumpy from regulatory perspective. So is that a low probability would just say a high probability to put up that kind of number in the fourth quarter. Or is there a good chance it could maybe slip into 1Q or 2Q 2021.
Tom Deitrich: Very good. Thanks, Noah. I think the way to think about it is we have the visibility to go do it. It will depend on some regulatory decisions and us finishing up a few contracts. But it is our target for the year to come in at approximately one-to-one. So still feel good about that possibility. And that’s absolutely what we drive towards. Relative to your comment at being a record, I don’t know, we’d have to go back and look, but having a large fourth quarter bookings numbers is not unheard of, we’ve done it a couple of years in the past, at least during my short time with the company. So it is based on customer discussions, is based on awards and a real hunger for our products and technology.
Noah Kaye: Very good. And maybe one quick one, we’ve seen that municipal water meter sales during the pandemic have been relatively resilient, and it seems a good time to check in on your North American and tell us water meter product introduction. How are you seeing awards and sales tracking for that? Is it beginning to contribute at all materially? Could that be a growth opportunity in the future?
Tom Deitrich: Certainly, it can be a growth opportunity for the future. At this point, it’s still relatively small in a material part of the overall business, but it is an area that we have a lot of excitement around. Even in some of my prepared comments, I talked a little bit about different ways, customers are pursuing the business overall. So the notion of having our multi-purpose network out there and being able to load things underneath that, whether it would be gas and electricity or in a couple of the examples that I cited with CPS and SAWS in San Antonio and AEP in Washington County, where people are using the same multi-purpose network to read electricity and water. It helps the community. It certainly is a cost-effective solution and something that we’re pretty excited about. We think that model has a lot of room to grow into the future.
Noah Kaye: Okay. Thank you very much.
Operator: We’ll now take our next question from Pavel Molchanov from Raymond James. Please go ahead. Your line is open.
Pavel Molchanov: Thanks for taking the question. So for the last six months, you’ve talked about utilities that are slowing the pace of physical labor due to social distancing precautions. Are there any case studies you can point to of where COVID metrics have improved and as a result utility work patterns have essentially normalized to pre-pandemic levels?
Tom Deitrich: So I can take that one. Good morning, Pavel. I think that there’s plenty of cases are – things that we can point to about restrictions having helped in terms of virus spread overall, nothing utility related. But more along the lines of utilities starting to continue to restore installations, we can see that in France, we’ve seen it in parts of the Northeast. So there is a desire when capital is allocated and projects are ongoing for our customers to carry on with that work. What we do see is in cases where the work is done outside in home types of installations continue to be on hold. I don’t know that I would ever be able to point to something that talks about returning back to full pre-pandemic levels to this point. But we do see the intent of our customers to move in that direction as safely as they possibly can.
Pavel Molchanov: And a follow-up on that, obviously, the severity of the second wave in Europe, just in the last 30 days has probably taken a lot of people by surprise. Have you noticed any shift specifically among European revenue mix in terms of the last kind of four to six weeks of activity of impact from either the lockdowns or just the worsening of COVID?
Tom Deitrich: The factories remain open in Europe. We had that closure way back in Q2, but you saw a nice sequential improvement in our European business between 2Q and 3Q relative to the last month or two as you had cited, we don’t notice a tremendous difference in terms of the customer’s behavior, but we are mindful and we continue to watch make sure that we’re adapting to the situation as well as we can. And we feel good about our protocols and the way we are operating within our factories and will continuously as diligent as we can about keeping employees safe and making sure we support our customers.
Pavel Molchanov: Thanks very much.
Operator: We’ll now take our next question from Ben Kallo from Baird. Please go ahead. Your line is open.
Ben Kallo: Hey, guys. Thank you. So, Joan, you mentioned that the target model and could you remind us what that is? And then it’s hard for me to parse out everything that you guys have – we’ve all had to deal with because of COVID during the year. If I just look at margins declining while the same time you guys were integrating and reducing costs and shuttering factors and things like that. And so I’m trying to square away all of that with the margins [indiscernible] there, and then that longer term target. And then what does that longer term target, like, when do we think about that next year or 2022 or 2023? Thanks.
Joan Hooper: Yes. Let me start. So the target model is the model that we showed at the Investor Day last year, and it represents getting to the mid-teens EBITDA level. So what we showed was a range 13% to 15% of EBITDA with gross margins associated with that in the 33% to 35% timeframe and had free cash flow as a percentage of revenue in the range of 6% to 8%. So obviously, as I mentioned in the prepared remarks, COVID-19 is certainly slowed that progress and pushed out our ability to achieve that to the right. It’s not 2021 based on the discussion of what we expect for top-line in 2021. Is it 2022 potentially too soon to tell in terms of how strong our recovery will be, but we still think it’s the right model. If you go to that Investor Day deck, it actually showed the target ratios were shooting at by our segments. Those are still the targets that our segments are being asked to achieve. But again, the timing of when we’ll be able to achieve that has pushed to the right.
Ben Kallo: I guess, just a follow-up there. Just – are you seeing pricing pressure on networks at all, I think that’s something that people worry about?
Tom Deitrich: Yes. I can take that one. Good morning, Ben. Certainly, it is a competitive market, but we feel very good about our technology. We tend to see when customers are interested in buying something that has plenty of capability for the future being able to use a multi-purpose network, add additional capability to it enables smart city applications automate, but do more with the data with downloadable applications, what we tend to do very well in the marketplace. So I don’t think that the environment has changed relative to pricing pressure on the networking front and we feel great about our technology.
Ben Kallo: Great. Thank you, guys.
Tom Deitrich: Thank you.
Operator: We now take our next question from Jeff Osborne from Cowen & Company. Please go ahead.
Jeff Osborne: Hey, good morning. Couple of questions on my end. One, I was wondering if you could just characterize the level of quoting activities, just coming back to the book-to-bill being above one, I assume the regulatory approvals or things that you were verbally awarded sometime in the past, but maybe we’ll come through by your end. But I was curious just a newer programs that might be being booked, what the level of activity is?
Tom Deitrich: I can take that one. Relative to quoting Asia-Pacific we’re back at pre-pandemic levels. Europe is a little slower. North America is a little bit behind that the pre-level, that’s in terms of new quotes. That said the number of discussions around advanced technology, the pipeline of new activities has definitely grown during this time period. Plenty of appetite towards forecasting and doing a better job of understanding how changes in demand would be incorporated into their network, a lot more discussions around EVs, a lot more discussions around renewable being integrated into the network overall. On the gas side, safety is a very high priority for our customers. And again, that generates a lot of new opportunities for us.
Jeff Osborne: That’s great to hear. Maybe for Joan, can you touch on the inventory reserves? Was that an element of obsolescence or FX or what drove that?
Joan Hooper: Yes, it was mostly in our devices segment and related to I would say the most of it is the shutdown of some factories from some prior restructuring reserves at the time we would not have predicted COVID. And therefore, some of the demand for the products went down in is we ultimately shut that factory down. We ended up with some excess inventory.
Jeff Osborne: Got it. And then have the recent lockdowns in Europe over the past week or two, have you heard from your customers, is the – what the impact for that would be just given that the last a month? How should we think about things like France, UK, and other markets that you have exposure to?
Tom Deitrich: Sure. It’s still pretty fresh and pretty fluid, so difficult to get a full beat on it. We’ve been in touch with all of our customers. They are still counting on us to make deliveries. As I commented earlier, factories are open and running, but it is a brand new and something that we’ll have to watch for as we exit through the rest of the quarter.
Jeff Osborne: Got it. One if I could sneak one quick one in for Joan, I was surprised to hear it’s great to see it, but surprised to hear that you’re paying back $10 million already have in October. It looks like you had $186 million of cash without the $400 million revolver. So this would take you down to sub $100 million. Is there a minimum level of cash that you feel anxiety about? Would you feel comfortable taking that down to $50 million?
Joan Hooper: Yes. Let me clarify. So we ended the quarter with $586 million, which included the $400 million of the revolver. We paid $100 million, so we’re at $486 million. So you’re correct that if you paid the entire revolver back at the end of Q3, we would have had $186 million. So the revolver payment doesn’t change that, that amount. Typically we would look to operate around $100 million of kind of operating cash to have on hand.
Jeff Osborne: Okay. Thank you very much.
Operator: We’ll now take your next question from Tommy Moll, Stephens, Incorporated. Please go ahead.
Tommy Moll: Good morning, and thanks for taking my questions. Hello, good morning. Can you hear me?
Joan Hooper: Tommy, we’re not able to – now, we can.
Tom Deitrich: Yes.
Tommy Moll: Good morning. Thank you for taking my questions.
Ken Gianella: Good morning, Tom.
Tom Deitrich: Go ahead, Tommy.
Tommy Moll: So acknowledging the crystal ball is hazy here. I wanted to ask if you could help calibrate us as best you can with what we know today on top line. So as we look to 2021 is low-single still the right kind of compare to think about versus this year? When you get – then when you get beyond 2021, should we think about that maybe inflecting to a higher growth rate out in 2022? Or maybe more broadly if you’re comfortable answering it, if we can excel the COVID noise, how should we think about run rate type CAGR for total company revenue?
Joan Hooper: Yes, let me take that. So last quarter we did indicate our expectations for 2021 were low-single digit growth rate. We don’t really have any update to that. Normally, we will provide guidance in our February call for 2021. In terms of what should a normal run rate look like of revenue once we’re completely recovered, I would point you to the target operating model that was in the Investor Day deck last year with revenue and the kind of 3% to 5% CAGR, but that would be completely recovered. I’m not good enough to tell you when the recovery is going to be complete. So I don’t know if that’s 2022 or 2023, but for now really no further comments on 2021 versus what we gave on the last call.
Tommy Moll: Okay, fair enough, and thanks. And then on the restructuring, you indicated in the press release earlier this year that the bulk of it would hit above the gross margin line. Any insight you can give us on which segments should see the biggest benefits from the program.
Joan Hooper: Devices should see the largest impact.
Tommy Moll: Okay. And should we expect any more charges trickling through in Q4 or next year? Or is most of that in the rear view now?
Joan Hooper: Well, we provided the detail of the total amount of charge, which is I think between $55 million and $65 million. We booked about $45 million in Q3. So the remainder will come in between now and for the most part by the end of 2021.
Tommy Moll: Okay. Thank you. I’ll turn it back.
Operator: [Operator Instructions] We’ll now take our next one Joe Osha, JMP Securities. Please go ahead.
Joe Osha: Hello everybody, good morning.
Joan Hooper: Good morning.
Tom Deitrich: Good morning, Joe.
Joe Osha: All right. Two questions for you, first, Tom, you’ve talked in the past about how the procurement process looks a little different for rate-based spending versus something that would end up in the operating budget for municipality. I’m just wondering if those sort of different tracks are manifesting different way through COVID here or does everything just kind of look the same?
Tom Deitrich: I would say that the difference that we see is how customers think about the overall situation, larger customers meaning state grids internationally are the large investor-owned utilities in the U.S. tend to be a little bit more resilient and continue to operate. I will say a bit more normally in terms of their procedures and processes despite working from home. We’ve seen smaller customers think a small municipalities, water departments, things of that sort have struggled a little bit more in terms of trying to understand how to seamlessly convert to work from home even in a customer care kind of environment. So that tends to slow down their procurement process a little bit in terms of new tenders. That’s what we’ve seen for our portion of the business, but you push that aside. I think it’s a timing question rather than something that fundamentally alters that the process. The interest in new technology, the interest in automating business processes is very strong and something we feel very good about.
Joe Osha: Okay, thanks. Then as a follow-on to that, obviously we know that state and local budgets have gotten well up to where – whereas I would assume that the – if your rate base or regulated utility probably less though. So are you beginning to see any sort of rumblings of what those fiscal constraints on states and municipal governments might do to some of their decisions?
Tom Deitrich: I would say too early to call right now as to anything being materially different. Everyone is being cautious in terms of new project starts. They don’t want to have to start and stop a project. We’ve seen regulatory commissions being pretty reticent to approve cases where a rate payers where the consumers would see an increase given some of the economic issues that are out there broadly. But I don’t know that I would say there’s anything that is different, that it’s hard to pull out of the noise as a long-term trend.
Joe Osha: Okay. Thank you very much.
Tom Deitrich: Thanks, Joe.
Operator: At this time of moment, it appears to be no further questions. I’d like to turn the conference back to you, Mr. Deitrich for any additional or closing remarks.
Tom Deitrich: Very good. Thank you, Brian. I will finish off with thanking everyone for joining today. Itron is well-positioned as a technology and thought leader. We feel great about the longer-term trends and are well-positioned to navigate the near-term cross win. Until we have a chance to speak again, thank you all.
Operator: That concludes today’s call. Thank you for your participation. You may now disconnect.